Operator: Welcome to EQB's Earnings Call for the first quarter of 2025 on Wednesday, February 26, 2025. At this time, you are in a listen-only-mode. Later, we will conduct a Q&A session for analysts. Instructions will be provided at that time. It is now my pleasure to turn the call over to Mr. Mike Rizvanovic, Managing Director of Investor Relations for EQB. Thank you. Please go ahead.
Mike Rizvanovic: Thank you, Enna, and good morning, everyone, and welcome to EQB's Q1 fiscal 2025 Earnings Call. Your host today will be Andrew Moor, President and Chief Executive Officer; and Chadwick Westlake, Chief Financial Officer. Marlene Lenarduzzi, EQB's Chief Risk Officer, will also be available for the Q&A portion of this call. For those on the phone lines only, we encourage you to also log on to our webcast viewer presentation, which may be referenced during the prepared remarks. On slide 2 of our presentation, you'll find EQB's caution regarding forward-looking statements as well as the use of non-IFRS measures. All figures referenced today are on an adjusted basis were applicable unless otherwise noted. And with that, I will turn it over to Andrew.
Andrew Moor: Good morning, everyone, and thank you, Mike. Before we begin, I want to take a moment to acknowledge the fact that this will be Chadwick's final EQB earnings call as he has made the decision to pursue a new opportunity outside the banking world. Chadwick joined us in November 2020 and has moved our bank forward ways that are enduring. He led many important files and improved our financial disclosure, including infusing guidance that I know has been helpful to our growing analyst community on this call. In fact, the very reason we're meeting this week at the same time as our industry peers is largely due to Chadwick's efforts and adjusting our fiscal year-end. One of its biggest contributions was helping us identify and nurture other talented people. We're in a fortunate position to have a stack bench on the finance team that has the depth, skills, expertise and perspective to maintain consistency in our approach and help take EQB to the next level as we make progress against our clear vision for growth. That team with the new leadership of VP and Head of Finance, David Wilkes, addition to our long-term Treasurer, Tim Sharon, and a host extremely capable others certainly has my confidence and is worthy of yours as well. Transitions like these are a natural part of any organization's evolution. And I want to be clear, my commitment to EQB our people and our future remains as strong as ever. We have an exceptional team and a clear strategy that continues to guide us forward. We will be announcing a permanent CFO in due course. Chadwick, thank you for joining us on our Challenger Bank journey, all the best in the future. Now, turning to business at hand. EQB got out of the starting blocks quickly this year with milestone quarterly earnings, our ROE at 15.2% and lower interest rates being to drive higher growth, particularly in the bank's uninsured single-family residential lending business, which saw a strong increase in originations and portfolio growth. Chad will outline the financial accomplishments during his remarks that have supported our dividend increase. A payout that reflects our board's conviction to grow the dividend 15% annually over the medium term. It is evident to all of us on this call that the economic and geopolitical environment has shifted dramatically in the past few weeks. Without downplaying the wider spread impact that cross-border tariffs may have on the Canadian economy. I think it is worth noting that our bank has been built in risk mitigators. To start as we lend in large urban markets with diversified economies, don't lend on balance to large corporate customers with direct exposure to US trade actions. Now because we are a purely domestic Canadian bank, we're not exposed to variables that could disrupt peers with large positions south of the border. Our status as Canada's Challenger Bank is even more valuable today for these reasons as well as the fact that recent industry consolidation has left us with a few midsized banking peers, an enviable place to be. Things stand. We are led to believe that Canadian fiscal monetary policy tools will likely be used to support the Canadian economy and employment if tariffs escalate. As I think you know we have found success in thoughtfully adapting to change in the past and approach for the future, confident in our ability to work with our customers to successfully address second order impaired. Regarding credit performance, we're pleased to see encouraging signs of improvement in the equipment financing, the PCLs in that part of our business of $8 million in the quarter, down from $16 million in Q4. Net impact equipment loans also declined from $57 million to $37 million in the first quarter, reflecting the write-down at the time assets were repossessed. We expect more improvement to follow reflecting management actions to derisk our exposure. Overall, net impaired commercial loans increased $68 million during the quarter with $17 million of that associated with a single CMHC insured loan. To really at what we said on our last call, we remain confident in our ability to resolve the remaining impaired commercial real estate loans with the reserves already set aside. As we previously indicated, resolutions are expected to accelerate in Q3 and Q4. Within the personal loan book, net impaired personal loans increased $11 million in the quarter and represented 98 basis points of personal loan assets. We expect any losses in residential real estate lending to be small in the context of the business overall. Recent monetary policy easing and house price stability, support our conviction. The cost of that outlook, I would note that $94 million of impaired residential mortgages discharged or resolved in the quarter. Canadian media has written extensively about a mortgage renewal cliff facing borrowers and their banks. While this may be a concern for other institutions, our reality is quite different. 74% of Equitable Banks and uninsured single-family mortgages that are renewing in 2025 will do so at lower rates, assuming rates remain around current levels. That's the advantage of our relatively short duration book. You'll hear the word growth more often in the coming year as we take advantage of high-quality lending opportunities that are available to us in our single-family multiunit residential and accumulation markets. While the long-term impact of potential tariffs has yet to become clear, six Bank of Canada rate reductions since last June are stimulating the housing market. We believe we can expect further market demand for credit and EQB is ready. As in all past years, we will focus our growth on lending in areas where we can drive change, give our customers a better deal and create meaningful shareholder value using our ROE calculator on every loan. One of those areas is conventional single-family residential, our long-time engine of growth. What we saw in the first quarter was encouraging, with uninsured single-family originations up 23% compared to last year and 13% compared to last quarter. We are seeing this trend continue. Our single-family uninsured application volumes increased about 29% year-over-year in the first few weeks of February. While the underlying drivers are different, our decumulation business is continuing enjoying continued strength in demand, and we see many opportunities to deploy capital to address the needs of Canada's growing population of retirees through our reverse mortgage and insurance lending lines. Growth in multiunit residential loans under management was once again a highlight of the quarter, reflecting our long-time leadership in providing insured construction and term loans that support Canada's apartment sector. One thing to think about here is the natural step up as we get our CMHC construction lending portfolio as funding has drawn when builders reach each stage of completion. This will act as a tailwind for growth going forward. We believe more accommodative monetary policy will be good for this large portfolio, as well as other commercial markets we serve. The final comments on EQ Bank. We ended Q1 with 536,000 customers, up 26% year-over-year as many more Canadians are choosing EQ Bank each day, including a growing proportion who choose us as their primary bank. In the past year, we've enjoyed a steady quarter-to-quarter increase in customers choosing to deposit their payroll with us, such that these funds now represent a meaningful ratio of total deposits. This is a clear sign of affinity by customers or making a long-term commitment to bank with us and represent exactly the kind of customer relationship we strive to earn. In line with our Challenger Bank ethos, one area that that deserves a shout out is our broader effort to redefine value and convenience for our customers regardless of currency. We launched new pricing challenged stubbly high FX fees in the market with a new approach that significantly improved our EQ Bank CAD to USD exchange rates in the quarter, such they are now better than most other bank competitors, while also maintaining a high interest rate for our US dollar account. The combination of these features clearly resonated with customers and helped invigorate deposit growth in this offering. Add to that, easy international money movement capabilities through our beloved partnership with Wise and seamless international spending with the EQ Bank card and you have a compelling and materially different offering in the world of high hidden fees. We expect continued growth in EQ Bank customers, deposits and customer engagement going forward, with an assist coming from the continuing rollout of Banque EQ services in Quebec this year. To sum up, strong quarter and good prospects for growth in the bank's key conventional lending markets as we maintain a close proactive eye on the changing geopolitical climate. Chadwick?
Chadwick Westlake: Thanks, Andrew, and good morning. I'm going to go right into remarks on our strong Q1, and I have a couple of closing comments. As we state consistently, our priority measure is generating return on equity above 15%. And we started fiscal 2025 right on target. This includes earnings per share of $2.98, up 19% sequentially and 8% year-over-year. Before more on those results, a couple of points on funding and capital. In December, Equitable Bank announced a milestone as it closed its $500 million fixed rate deposit note offering that was nearly three times oversubscribed and issued at record low credit spreads, underscoring the unique appeal the bank's issuances in the capital markets. We expect this type of positive momentum to continue. This quarter, Moody's assigned Equitable Bank a long-term issuer rating of Baa2 and a short-term issuer rating of P-2. We also assigned a deposit rating of Baa1, matching the existing DBRS BBB-high deposit note rating. These ratings demonstrate Moody's confidence in the bank's financial stability and are expected to broaden our access to investors. In January, EQB renewed and increased its NCIB, that allows for the repurchase for cancellation of up 2.3 million common shares, representing approximately 8.4% of the public float, and that is the most prudent use of capital. During the quarter, EQB leveraged its prior NCIB and repurchased common shares for the first time. Adjusted PCLs for the quarter totaled $13.7 million, a significant improvement from the $31.9 million in Q4. The annualized PCL rate was 12 basis points, the lowest since Q1 2024. Of the total, $3.6 million was for Stage 1 and Stage 2 performing loans, reflecting growth in the uninsured lending portfolio and elevated macroeconomic uncertainty impacting modeled expected credit losses. Stage 3, PCL is associated with impaired loans were $10.1 million, nearly 70% contributed by equipment financing. Note, that our adjusted PCL excludes a $5 million provision related to the purchase facility through the Pride Group, with updated disclosures in our MD&A similar to prior quarters. While there continues to be macroeconomic and geopolitical uncertainty, our PCL outlook remains constructive for a few reasons, including stabilization of credit trends within our equipment financing portfolio which was a source of over 70% of adjusted PCLs last year, as we've taken decisive action to derisk this portfolio. Housing market activity is increasing and pricing in most major urban state markets is stable, which helps reduce the likelihood of experiencing losses, and the fact that the vast majority of our single-family residential customers have already been repriced at higher rates and we'll be renewing to lower rates. Next, net interest income, NIM was consistent at 2.07% and up six basis points, compared to last year. This quarter benefited from consistent pre-payment activity driven by a more active residential housing market, which should see further strength in the crucial spring market as well as a slightly more favorable loan mix given the sequential reduction in balances and lower spread insured single-family residential mortgages. Looking ahead, we expect NIM to remain above 2% through the year per our guidance, as the impact of declining policy rates are offset by the benefits of our funding diversification strategy and lending asset mix. For non-interest revenue, we reported a record result in Q1, at $59 million, up 4% from last quarter and almost 40% higher than the same period last year. Non-interest revenue represented 18% of total revenue in Q1, as we continue to see strong progress with our diversification strategy. The sequential improvement was broad-based across strategic areas, including a 7% increase in fee-based revenue, which continues to see a strong contribution from credit union services and ACM advisers and 5% Q-over-Q increase in revenue from securitization activities, related to our insured multi-unit residential lending business. Moving on to expenses, which increased 3% from last quarter, driven by staffing costs, including the annual reset of benefits and merit increases and continued investments in technology to enhance our digital capabilities. As we often reference, we will continue to prioritize investing in strategic initiatives to support growth and enhance our long-term franchise value. That will impact our efficiency ratio quarter-to-quarter, but our primary focus remains long-term growth in our ROE North Star. Having said that, we do have some levers to pull on the expense side and coupled with improving revenue outlook, we do expect our operating leverage to gravitate towards our target of flat to slightly positive in the latter half of this year. Now on the balance sheet, total loans under management ended Q1 at $69.3 billion, growth of 2% from last quarter and 8% versus the prior year. This was driven predominantly by our higher growth lending businesses, including insured multi and residential, which was up 5% quarter-over-quarter and 30% year-over-year and decumulation lending, which improved another 9% quarter-over-quarter and 47% year-over-year. We also saw positive trends in insured commercial construction up 13%, sequentially. In addition, we saw a pickup in uninsured single-family mortgages, which had quarter-over-quarter growth of 1%, but underneath that was the 23% year-over-year increase in originations that Andrew noted earlier. We expect further momentum here, particularly the uninsured personal lending in the latter half of the year. Shifting over to funding, deposit growth was 3% quarter-over-quarter and 7% year-over-year. We saw positive trends within the mix of deposit balances as term deposits moved up 1%, while lower cost demand deposits increased by a solid 8% driven by strength in EQ Bank demand balances, which were up 4% sequentially. While EQ Bank total deposits were about consistent quarter-over-quarter, we have thoughtfully managed our profitability, while being impacted by maturities of term balances with higher rates, with most deposits either rolling into new terms or being kept in demand accounts. We continue to see strong engagement and activity with a growing share of deposits associated with payroll and regular direct deposits as Canadians choose EQ Bank as their primary bank. Shifting to capital. As you know, we use an ICAAP or Internal Capital Adequacy Assessment Process to govern the quality and quantity of capital we need to hold against the bank's risks. We have always run our capital -- our total capital ratio well above regulatory minimums, a prudent practice that will continue in fiscal 2025 and beyond. Through our recent ICAAP, management has established it will operate above 15% total capital and expect that up to 300 basis points of total capital could be contributed by alternative Tier 1 and Tier 2 in 2027 and beyond. CET1 guidance remains 13% plus for the balance of fiscal 2025. We continue to prioritize organic growth as our top priority for capital deployment, consistent with how we intend to maintain our 15% to 17% ROE objective, while M&A opportunities that fit our strategy and are EPS accretive are great second option, followed by share repurchases, which will be used strategically. In closing, we're very pleased with our results this quarter, which highlighted a strong improvement in credit performance, continued strength in lending volumes in high-growth segments, and clear signs of improvement across other key loan categories. Further progress in revenue diversification strategy and a robust excess capital position that provides us with flexibility and options. We remain excited about 2025, which we expect will be a pivotal year for the EQB franchise. And finally, I want to thank you. Thank you to our shareholders and all stakeholders that have trusted me in this capacity. Saying that serving as the CFO of EQB has been a privilege is an understatement. My decision is a very personal career pivot. EQB is an incredible position of strength with world-class talent and we are excited to share on the continued growth trajectory. I want to say thank you to our Board of Directors, the management team, and my finance team colleagues, including David Wilkes and Tim Charron, who will have broadened accountabilities. And importantly, I want to say thank you to Andrew. He's a pioneer of innovative change in Canadian banking and one of the most incredible people I've ever met personally worked with. I greatly value being as co-pilot these past four years and know the best is yet to come as someone new transitions into my chair. And I look forward to engaging with many of you in my new role, which was just announced publicly. I couldn't be more excited to share that I'm switching over to the technology sector, supporting the purpose of companies across all industries as the new Executive Vice President and Chief Financial Officer of OpenText, the greatest information management offer and services company in the world. There is extraordinary growth and transformation ahead for OpenText, and I can't wait to engage with you from that chair. Now, I'll turn it back to you, Enna, to begin the Q&A portion of the call.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Meny Grauman from Scotiabank. Please go ahead.
Meny Grauman: Hi, good morning. First off, best of luck Chadwick in terms of my questions, I wanted to start off maybe with you, Andrew, it definitely sounds like you have a more optimistic outlook than a lot of what we're hearing. And so that caused my attention. And specifically, just wanted to understand the guidance that you're providing or the outlook that you're providing in terms of housing activity and how that will translate into loan growth going forward. We saw some encouraging trends in Q1? And it sounds like you expect that to continue despite all the tariff uncertainty and all that -- all those question marks. So I just wanted to understand whether I'm reading that correctly and whether there's more of a nuance there? Or are you really that optimistic despite all those big question marks for the economy?
Andrew Moor: Well, I am optimistic Meny, but I think as we've spoken over the years, you always have to temper that we're trying to understand and think about downsides. And clearly, this is a precedent at political times. So my optimism may be misplaced for sure. Having said that, I do think that at some point, we'll get to get some sort of trade-off on the geopolitical side that will be acceptable to us. I have enormous confidence in Canada and the Democratic institutions, how they operate in Canada are able to respond to this type of threat and an approach. We've got 40 million real talented Canadians that can work our way through this. And then beyond that, there is the backdrop as we came into the but were not for these tariff threats, I think we'd all be facing this year with more confidence. Interest rates are down, there's pent-up demand for housing, None of that's going away despite the political threats. So when I think about that, I definitely think about downsides and work with Martin and her team to sort of put some analytics around that. But I do end up with a sort of reasonably confident posture for the year. Again, I think we've got a -- it seems to be changing more rapidly than we can think about in terms of kind of policy or these responses. Policy statements from the US and then potential policy responses to that. And clearly, we've got some geo political uncertainty in Canada for the moment. But I think we'll be feeling a lot better about six months from now, and I think that's going to reflect well on our business.
Meny Grauman: Got it. In terms of a follow-up, just two questions that are PCL related. One is just that $5 million adjustment to the PCL line? Just wanted to get a better understanding of what's going on there. And can we see more of that over the next few quarters? Or is this basically it for this kind of adjustment?
Chadwick Westlake: Meny, I would say it's consistent with how we adjusted it last quarter, you're seeing a combination of Stage 2, so actually about 3.5% was Stage 2 there's some Stage 1 and Stage 3. I think Marley might have some additional comments on the forward looking for it, but I'd say there's nothing inconsistent with how we've treated this previously.
Marlene Lenarduzzi: Yeah. Thanks, Chadwick. I think when I look at that portfolio, I just look at -- we look at it very carefully every single month and adjusted according to the information we have. I think at this point in time, it felt like the $5 million was the appropriate based on what we know at this point in time. But as you know, it's still going through the core system and continue to work through with.
Meny Grauman: I guess I'm trying to understand like how much more potential is there for more of this kind of adjustment to flow through? Like can you kind of scale it for us in terms of how to think about it, the potential there?
Marlene Lenarduzzi: Yes. I think with the provisions we provided so far, we feel are appropriate given everything that we know right now, and I think we're pretty confident that we're in good shape. But as I said, it's in the court set now, and so it's difficult for us to comment.
Meny Grauman: Okay. And then just a final question. Just on the PCL guidance. You provided that guidance last quarter and obviously -- well, what I'm looking for is, what would that guidance be in a tariff scenario? And can you provide some sort of color in terms of how you're thinking about it relative to what you talked about last quarter?
Marlene Lenarduzzi: I would just say that the threat of the tariffs does increase uncertainty and it's difficult to predict at this point, which industries are going to be targeted the extent that they'll be impacted. And for how long is this narrative has been changing fairly rapidly. And we're very much attended to that risk. We did say that the base case scenario that we put into our scenarios for our for PCL forecast as well as some of the downside scenarios already account for some level of tariffs in the forecast. So we've already baked some of that in. But I can say for sure that our portfolio fundamentals are strong. And as Andre said, we lend in major centers that with diverse economies. Our loans are secured by real estate that are predominantly housing related and backed by strong LTV. So I feel like we're in a stronger position than ever to face these headwinds.
Andrew Moor : Yes. I think when you think about having exposed to say just a manufacturing sector, which could get an individual business, unfortunately be severely impacted. We just don't have those exposures as we try to set out in our comments.
Meny Grauman: Thank you,
Operator: Thank you. And your next question comes from the line of Gabriel Dechaine from National Bank. Please go ahead.
Gabriel Dechaine : Hi. Good morning. Can you just I guess, summarize what you sound more optimistic on the mortgage growth outlook? And from your commentary, it sounds like as you funded some CMHC insured resi construction projects, those get completed? And then people move in, take mortgages and your -- get some natural market share on that? How I should view that?
Andrew Moor : Maybe -- I could frame that a bit better. So when I was talking about the tailwind the way we might commit to this say an example might be it's a $100 million CMHC construction loan as the floors get added to and we'll make advances against that, I think, we've got over $2 billion of them actually quite more than $2 billion of undrawn demand that we've committed to in that area. Now these will be rental apartment buildings, so they will not be ones where we provide the middle single-family mortgages. But when they reach completion, and they're fully leased out, then we will put a term mortgage on them and take them into our securitization facilities. So it provides us as well a kind of tailwind to that side of the business.
Gabriel Dechaine : Okay. Great. That makes sense. Now as far as the uninsured mortgage portfolio, what -- I guess, I didn't understand your outlook, are you more optimistic now? Because I'm just thinking out loud here, but a lot of your -- the customers, I think, of our small business owners, self-employed and they might be more vulnerable to tariff or stuff than somebody working for the government or whatever. And that seems to me like a demand suppressant. Is that not a bit in your outlook? And then maybe if we talk about the other side of the coin on credit, those same types might be also vulnerable to defaulting if the trade war expands or is it ticks off, that might be maybe more of a 2026 thing. So just, how can we be optimistic, I guess?
Andrew Moor: Well, I think we try to be realistic frankly, while we sort of maintain kind of clear a view on it. I mean, I think when we think about many of our small business customers, many are servicing local -- are in the local service economies. So, whether it's somebody that's a hairdresser or a local lawyer, these kinds of services, I would say represent a good chunk of that that business. So I think feels less and in places like Toronto, Vancouver, Montreal, as opposed to, for example, a small business that's focused on making some kind of component part that gets shipped across the US border. So -- and the other thing I always love about -- I mean I love talking to our customers, but what I find about the small business, and we saw this during COVID is the guy that was running a restaurant pivots to being doing food delivery. And these people are fairly quick to adapt and change to economic trends. And so I find that -- obviously, we're going to be -- I can't say everybody is going to be like that, but certainly a fairly -- I've just got a great belief in entrepreneurialism in our small business customers do seem to be able to adapt to changing economic trends, more quickly perhaps than somebody who's been working in say, a steel plant for 20 years gets laid off and find it more difficult to adapt to an economy that's changing where the skill sets they may have built up are less relevant going forward.
Gabriel Dechaine: Okay. Well, I appreciate that. Then what is your base case mortgage growth outlook, more in the second half? Like is there a number you can put on that? And I appreciate it. Look, your guess is good as mine on how the situation develops because it's changing every day. But just for having something in mind, I guess, is where that's important to me.
Andrew Moor: Sorry, sorry. What was particularly the -- what do you...
Gabriel Dechaine: What do you expect your insured mortgage growth to look like this year?
Andrew Moor: I think our base was 5, and I think we might expect that if anything, we're trending to sort of beat that number at this point. We were expecting it -- I think the tail takes always the spring market, probably haven't been too many people buying houses in Toronto over the last couple of weeks where you have to -- you can't even see the house out of the stone drift. So, we would expect that -- I think a combination of a slightly more positive turnaround tariffs on the sphere around that and an improving weather in kind of the traditional Canadian spring market with lower interest rates might set us up for a reasonable time. I'm not -- to be clear, Gabe, I'm not trying to be wildly overly optimistic, but I don't want to be the narrative in the elsewhere seems to be overly negative given that sort of broader context. And I think just finding a pragmatic sensible way to think about this is sort of -- it doesn't feel unreasonable. I feel reasonably optimistic that things [indiscernible].
Gabriel Dechaine: No, there's no ways melting. So that's good.
Andrew Moor: Just to be -- just to be clear, my money is why my mouth is I put a bid in for house yesterday myself. So I don't know if that means on, but...
Gabriel Dechaine: Equitable markets, just the line item, the -- sorry, in the past 2 quarters, you've had $9 million or so of this derivative income each quarter, the way I've understood it in the past is that trends to zero over time. It's a hedge position, so not supposed to be a profit center. How should I model that? And should I kind of disregard this revenue item because if it is going to zero, then it's been over-earning in the last couple of quarters.
Chadwick Westlake: I wouldn't say going to zero. Gabe, I think that's -- the part overall multi-unit insured lending business, you're seeing it across a couple of lines. And it's all back to the reinvestment swap and participation in CMHC, MBS and CMB Programs. There are always going see gains on sale recognized upfront, but also over time as we're collecting interest only strips and reinvest principal repayments in the case of the CMB Program. So you saw some last quarter. You saw some this quarter, you'll see some -- it's never -- I wouldn't say it's zero, but you could see it somewhat consistently over time, but that amount will very -- and there is -- it's always going to come down to the present value we see on the future cash flows and how we manage that reinvestment risk. So I wouldn't on that.
Gabriel Dechaine: So, what is a sustainable figure then -- that's my last question.
Chadwick Westlake: I think we'll take it off the line, but I'd say it's call it low single digit, probably is if you need to model something.
Gabriel Dechaine: Okay. Great. Well, good luck in the next job, and congrats. And, yes, that's it. Thanks.
Chadwick Westlake: Thank you.
Operator: Thank you. And your next question comes from the line of John Aiken from Jefferies. Please go ahead.
John Aiken: Good morning. Chadwick, wanted to take a look at the non-interest revenues for a moment, and I apologize since, I'm reasonably new to the game. The fees and other income can you -- I'm assuming that the bulk of that actually comes from the association of the credit unions and ACM advisers is a bit smaller proportion. Can you quantify the growth that we saw I guess, sequentially between the two, what was driving higher growth in the -- at least on a relative basis?
Chadwick Westlake: So the overall -- so the 7% growth you see in fees and other income, that's what you're referring to probably. So we had great growth at this point of the year as well on the Concentra Trust side. You saw a very solid growth on the assets under administration. So that's fees and services that we provide to credit unions for their 6 million members. So that was a big part of it. And then ACM is continuing to have nice solid, steady fee-based revenue growth. And that's -- it's also just -- when you think of it on a year-over-year basis, we closed at ACM December 2023, you're seeing a full year impact on a full quarter impact in Q1 of that as well. So that is where you're seeing some of the year-over-year benefit. But there's -- if you kind of go back, you'll see how much of that is weighted ECM that started rolling in about a year ago.
John Aiken: And then, Chad, when I look at the various other lines in the non-teen miscellaneous gains left right in the center, we're seeing a bit of a shifting mix in terms of contribution. When I look at this, should I look at this in totality or should I actually be trying to figure out what each of these individual lines are doing.
Chadwick Westlake: I would lean towards assuming that a lot of that is in totality or overall non-interest revenue. But the ones that we've said are a little more non-core would be the net gains on other investments and strategic investments, you're going to see some inconsistency there, including on some of the, for example, strategic investments we hold where you might have mark-to-market gains in certain quarters that we've shared in the past. So that would be more non-core. But your majority of that is really your fees and other income and gains on sale and income from retained interest. Those two lines represent the bulk of your NIR, and that should be what you really map to with good steady growth. The other one will be a little bit more consistent.
John Aiken: Great. Thanks, Chadwick and best of luck.
Chadwick Westlake: Thank you, John.
Operator: Thank you. And your next question comes from the line of Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic: Hi. Thank you. I just had two quick questions. First one for Marlene. The portfolio the purchase facility that is $70.6 million in size, how much of that is performing versus nonperforming.
Andrew Moor: You talk about [indiscernible].
Marlene Lenarduzzi: Yes. Sorry, could you repeat the question, Darko?
Darko Mihelic: How much of it is classified as performing and how much of it is nonperforming?
Marlene Lenarduzzi: Yes. I'll have to go with that up, but I think most of -- most of that is performing. I think we've provisioned for it versus our Stage 1, Stage 2, Stage 3. I would say that there is probably about I'm just going back to my marine here now, it's about 7% is in the Stage 3, and most of that is -- the rest of it is performing.
Darko Mihelic: So just to be clear, this entire facility is in bankruptcy court, but most of it is performing.
Marlene Lenarduzzi: That's correct. It's the parent TP that's in bankruptcy court.
Darko Mihelic: Okay. Second question is on capital. I'm noticing -- I just want to make sure I understand your capital – your new capital, sort of, target. So it seemingly suggests to me that, I mean, although this year, it looks like your CET1 will be 13. It just looks like it will grade down because you want to issue more Tier 1 and Tier 2, such that by 2027, we are thinking about something in the range of 12% for common equity Tier 1. Is that how I should read that?
Andrew Moor: I think the way I'd characterize it, we have very strong total capital ratio at 15.5% total capital, and we are going to maintain that very high capital levels. I would say that just kind of the way I think about it sort of back of the envelope, you've got roughly $20 billion of risk-weighted assets. It was about 2.1% of CET1 in excess of that number you quoted that 12% number. So roughly speaking, you might think we could substitute $400 million plus of that one with alternative Tier 1 and Tier 2 instruments. And that's equivalent to about $10 to $11 a share today as we speak of kind of surplus common equity, but we're not going to get that right away. So we will maintain a CET1 over that 13% amount, as you just commented. So I think the key message is really strong total capital. And don't forget, we're on a standardized metric -- so this -- if we were being compared in the same way as our banking peers, our total capital will be well into the 20% plus type ratio. So we're committed to having a really strong capital foundation but there is probably some surplus equity on the balance sheet.
Darko Mihelic: Okay. So I think that -- okay, that's helpful. And I guess, we'll worry about ROE guidance for next year or any time thereafter, Andrew? Is that the way to think of it?
Andrew Moor: I think that's the way to think about it. You know, I think about -- I think you don't change the pricing of your loan sets just because you got to get different capital structure, but it does allow you to go into other markets where they might hurdle with that more efficient balance sheet.
Darko Mihelic: Great. Thank you very much.
Operator: Thank you. And your next question comes from the line of Doug Young from Desjardins Capital Markets. Please go ahead.
Doug Young: Hi. Good morning. Just maybe the first question on credit two-parter or maybe we can split them up. But the plan and the pride group, like when would this -- when do you think that's going to be completely behind you?
Marlene Lenarduzzi: Andrew?
Andrew Moor: Hi. Yes, was having -- so you more used to these core processes they always move slower than you think. I think we might be talking about it very much, but I would imagine that it could take as much as two years or something to resolve through core processes.
Darko Mihelic: So I mean we could have things like that $5 million PCL rate or PCL continue as these things develop. Is that like what we not going to model it necessarily. But -- so there could be another few years of just noise around the PCL related to these items.
Andrew Moor: Yes. I think there could be noise. I mean with this Marlene, Chadwick, myself and some of the rest of the team have been spending – have been trying to figure out how to account for all of this. But yes, this there'll be core as what you hear nothing about it, maybe a couple of a few quarters in a row and then something might happen in the court. So we may be some differences and changes we have to go through. Lots of uncertainty.
Doug Young: Yes. Okay. And then it sounds like you've built in some of the tariff risk in your performing loan allowance. You use Moody's. Moody's had reflected that already when your quarter end happens. So it's a bit different than what we're seeing at the big banks. But I know this is maybe a tough question, but is there any way to quantify like what you did or how much the tariffs had an impact on PCLs or allowances? Or any kind of context you can kind of give us?
Marlene Lenarduzzi: Yes. We -- I wouldn't say at this point, it's a scientific but enough for me to be able to quantify that for you. I would say that we've taken into account it's InterMoody's forecast and we'll continue to monitor that fairly closely.
Chadwick Westlake: So you've seen the MD&A right, the shifts as well in unemployment, GDP, HPI, everything is built in embedded within those estimates and the various scenarios where you're seeing tariff rates of 5% to 25%. So it is within that and the change in our performing to Marlene's point. So we wouldn't break down just that aspect, but I think we're actually leading and how that's been incorporated into our homing estimates.
Doug Young: Okay. And then Chadwick and Andrew, you both talked about payroll deposits increasing. And I kind of get the understand but the value of that. Is there -- can you quantify like how much of your deposit base -- or sorry, your EQ Bank deposit base is now payrolls? I assume that's where it kind of goes through, like any targets and any thoughts around the benefits you get from that, obviously, from a funding perspective? Is it really going to be that material over the near-term?
Andrew Moor: Yes. I think we're sort of a little bit reluctant to talk about those metrics publicly, but I can tell you they are material increases. We don't -- we've got lots of activity and engagement in those platforms. And of course, when you got payroll, people by definition are coming into your account more frequently. So things I spoke about, things like foreign exchange offer and so on, we can make those because people are coming into the accounts more often. I think you might see us through the year, start to give you some sort of metrics and -- but it's I find it very encouraging. I've obviously spoken to a number of sort of challenger banks around the world around how many people see payroll. I'd tell you our metrics are starting to look very good from a kind of a global perspective.
Chadwick Westlake: Yes, most we could say when you think of the balances, it would be in the double-digits and balances in terms of relative percentage. But we'll -- we know if we give you a number now, you're going to ask again next quarter, and we want to make sure we have the clear metrics to share consistently going forward, but it is very, very encouraging.
Doug Young: Yes. No, I think you're absolutely right. I'll continue to ask you -- but yes. No, I just think if this is -- it's kind of an interesting development, it would be interesting to see the metrics. And then just lastly on expenses. You talked about flat operating leverage in the second half. Like I assume -- like I know the answer, but like what drives this? Is it -- I assume it's going to be more revenue growth than expense kind of curtailment. And what gives you the confidence you can kind of get that given all the uncertainty?
Chadwick Westlake: Well, it's the latter. I wouldn't say, came in early for the second half, flat to positive, but part of the equation here is revenue growth accelerating with more loan growth, more conventional loan growth as well. So seeing that really pick up. And then you saw some step change increase in expenses. But as we indicated, ROE is always going to be our anchor point, not the efficiency side. And if we continue generating that our ROE will keep investing through the cycle. But I would expect to see that revenue growth pick up even more momentum and then we can curtail some expense growth if needed, but we're making very, very smart long-term investments right now. So the equation will come together anchored particularly in even more revenue growth.
Andrew Moor: Unfortunately, I think the flip side of that, by the way, is you should have comfort that we're investing appropriate amounts in things like compliance, technology, compliance, risk management systems that can take us and scale us to the next level. So while expenses may not be quite so favorable all the time there, I think we've all seen that it's really important to have this -- the correct infrastructure and banks as you scale we believe that we're making the appropriate investments.
Doug Young: Great. Appreciate the time. Thank you.
Operator: Thank you. And your next question comes from the line of Graham Ryding from TD Securities. Please go ahead.
Graham Ryding: Good morning. If I could just ask a question on your -- on-balance sheet mortgage growth, you're seeing decent growth from loans under management perspective, which includes your off-balance sheet. But what's your outlook for on-balance sheet loan growth, which ultimately drives your NII, because we've seen that decline for two quarters in a row now.
Andrew Moor: Yeah. So I think we laid that out. I mean, the big driver, as I spoke about is the single-family uninsured mortgage book and the decumulation books. Both of those are showing good growth and good trends in terms of mortgage application. And actually, we're seeing some good activity in our commercial business now. We're seeing some more application flow. That's a bit more lumpy and harder to look at, but we're seeing some I think where I am seeing that I asked a question more about the confidence in the housing market, which color all that without that previous response. But at this point, I think we grew 29%. Our applications are up 29% year-over-year in February. That's an encouraging sign.
Graham Ryding: And then your -- maybe I could just jump to the GTA condo market. It's showing some softness and weakness, can you give us some context? Do you have any exposure either on the condo construction side of things? Or what's your exposure on single-family mortgages behind either condo owners or condo investors?
Andrew Moor: We've done a deep dive on that, and we're not seeing any real exposure on the [indiscernible] color that. And then similarly, condo construction, a lot of our condo constructions rolls off actually because not many projects have been green led in the last couple of years since interest rates have risen, we haven't seen any problems with our construction loans as a result of purchases not closing on preconstruction commitments. So it feels fine. I don't know the…
Marlene Lenarduzzi: Yeah. We have -- we're very quantify to the GTA condo portfolio, it's not a very large portfolio for us, either on the single-family side or on the condo construction side, but we're attentive to it, and they're all supported by strong loan to values, good performance. The average completion rates are high and the loan to values are quite low. They're about 55% loan to value. So a little secured there.
Graham Ryding: Okay. Great. And just one last one, if I could. Non-interest expenses, there were some adjustments this quarter and there's been some recurring adjustments. What's the outlook there? Should we expect real estate and operational initiatives to be an adjustment going forward? Or when does that dissipate and play itself out?
Chadwick Westlake: Things that are nonrecurring in nature, Graham, are you seeing some of there, we did have some onetime cost on the equipment financing side. There, we have some adjustments for the new building. We had some other nonrecurring onetime items that would recur through there, but you should normally see….
Andrew Moor: Just on that. So we -- as many of you are aware, we're moving into a new building across the street in April. So one of the adjustments is the fact that we're paying rent on the current space we're in as well as some the building across the street. So that should soon roll off as we actually move into that space and lead the space we're currently occupying. So that the next six months, I'll go to zero.
Q – Graham Ryding: That’s it for me. Thank you
Operator: Thank you. And your next question comes from the line of Stephen Boland from Raymond James. Please go ahead.
Q – Stephen Boland: Thanks. Good morning. First question, a couple of larger banks talked about lower immigration levels impacting their single-family business, but doesn't seem to have impacted yours, and that tends to be one of your key markets. I'm just I'm just wondering if has there been any impact? Or do you expect any impact with lower targets from the federal government?
Andrew Moor: Thanks, Steve. I'm surprised that people would be identifying that as sort of impacting the business yet. Frankly, there's still a lot of -- there's still a lot of new arrivals have been in Canada. -- if we take a longer-term five- or 10-year view, maybe there's something that you'd be concerned about just remember that people don't immigrate to the country and get a mortgage day one. We have to see sustainable income and find a professional find their feet. Many people come as students not likely to be in the house buying cycle, and find a job. So I think it's a pretty strong tailwind actually from the immigration that we've seen over the last five years of people being sort of first-time homebuyers that we can address and help.
Q – Stephen Boland: Okay. And then last quarter ended, we talked about the removal of the stress test and packed on renewals. You were pretty confident it shouldn't really be an impact and you've got tools to deal with that, the growth maybe is this quarter has shown that perhaps. I'm just wondering about, with the growth, like how much is new customers versus matching rate if somebody is graduating in terms of the growth. I'm wondering if it's possible to break down returning customers or new customers.
Andrew Moor: These are all new customers basically -- business. That's where our business comes to us through brokers. So we've done a better job. I think the team has done a great job on retention of customers. Lower interest rates has helped that in terms of customers that are coming up for renewal quoted that 74% of our customers will actually see an increased rate decrease this year. Has it come up for renewals. So, that helps with renewal percentages in our experience. Most of the growth comes from new customers, not a customer that left us, let's not coming back to us.
Stephen Boland: Okay. That's all I had. I just want to say thanks, Chad, for the last five years. Done some great work there at EQB, you've always been accessible. So, good luck in your new role.
Chadwick Westlake: Thank you so much Stephen. Really appreciate it.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Lemar Persaud from Cormark. Please go ahead.
Lemar Persaud: Yes, thanks. Maybe for Marlene and just picking up this discussion on this Pride Group exposure. Can you just help me understand why it's just like kind of slow grind in terms of positioning? I know it's going through court system, but specifically, what information are you using to look at when you're gradually bumping up the allowances against this exposure here? Like why not take a more meaningful provision to put this to bed versus the kind of slow bleed over the next two years. And just building on the answer to Darko's question, like how do you justify having 93% performing when this is going through a CCAA process. Like just help me understand this a bit more. Thank you.
Marlene Lenarduzzi: Yes, I think it's going to take some time for this to work out. So, rather than take a large provision and then have to unwind it down the road. It feels appropriate for us to base it on the information we have at hand, the performance of the portfolio, the information we received from the monitor, et cetera, and that's the approach we're taking. That's our strategy.
Andrew Moor: I think just to think about the 93% performing. This is not a loan to T Pine. This is a series of leases that we bought from T Pine. And so we are now, as of sort of back end of last year, collecting those collecting those leases ourselves, right? So, our own team at Bennington leases, and that's where 93% of them being performing comes from. The broader concern is there are other lenders that might be disputing pieces of collateral, and that's a sort of legal judgment that we have to make. We think we've got really strong -- we think we've got a good legal position, but we haven't seen the other side arguments and so on. So, it's tricky. We're really trying to follow the accounting guidance to make the best judgment we can given that uncertainty, but it's definitely there's definitely more uncertainty with this one than it would be typically the case with, say, a piece of secured real estate where we would be much easier for us to get to appropriate provisioning.
Lemar Persaud: I guess that's what it kind of comes down to for me, like the competing claims. Like it just seems odd that you be able to justify keeping 93% and performing when there's competing claims against those the underlying asset. Am I understanding this correctly? Like are you just -- it's just that you guys are just senior -- like how do you -- like just help me understand that piece maybe?
Andrew Moor: I mean, I think it's probably good to have conversation with Marlene to get to deeper off-line on that. But yes, there can be competing claims and even though we might be registered on the win. So that's the bitten number going to sort of you think details, others might dispute whether we have a clear claim to that vehicle. And so, is that nuance that's a bit subtle, and we don't really know what -- in some cases, we would get to have the facts revealed about what we have on those things. And the competing claims is not the whole piece to be clear, it's a subset of that piece. So there's a fair bit of complexity here, but I'm sure Marlene give you more color offline.
Lemar Persaud: Okay. I appreciate that. And then just moving on to a different type of question for Chadwick here. Again, I appreciate that these targets are medium-term, but operating leverage negative in the first half and then, I guess, neutral to slightly positive in the second half. So, does that feel like operating leverage for full year 2025 will be negative? Am I reading that correctly?
Andrew Moor: Chadwick?
Chadwick Westlake: We're going to focus again, right, I know we said the same thing a record, we're going to focus on ROE. I think we're seeing to have your investment now. Does it average out to the flat for the whole year? Maybe, maybe not depends on the smart investments we make each quarter. But I do expect revenue will pick up momentum as expected, as conventional asset lending picks up, and then we'll manage our investments smartly in the business. But that's why it's medium-term out, but it should be plus/minus within that range.
Andrew Moor: Where I get sort of more confident about the future is being is faster asset growth, which frankly doesn't translate too much in some additional earnings this year. Every time we book a loan, let's not forget, we have to put a Stage 1 provision it up against it. So you see Stage 1 provisions the day we book the loan. And we lose money the day we make the loan. But if start fiscal 2026 with higher asset balances, that's obviously going to bode well for the future and beyond.
Lemar Persaud: Okay. Thanks. And then thanks for all the help over the year, Chadwick, best of luck.
Chadwick Westlake: Thank you and I really appreciate it.
Operator: Thank you. There are no further question at this time. I will now hand the call back to Mr. Andrew Moor for any closing remarks.
Andrew Moor: Thank you, Enna. This year, we will host our hybrid annual meeting on April 9. So I encourage everyone listening to participate or through our management information circular, which is about you put in the mail. In the meantime, I hope you will join me in showing pride in our country by shopping for all Canadian goods and services, including, of course, everything we offer here at Canada's Challenger Bank. We are proud to be made in Canada or Canadians. We look forward to updating you on our progress at the time about second quarter call, May 29. Goodbye for now.
Operator: Thank you. And this concludes today's call. Thank you for participating. You may all disconnect.